Operator: Good morning, ladies and gentlemen, and welcome to the ADENTRA Q1 2024 Conference Call. At this time, all lines are in listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] This call is being recorded on Thursday, May 9, 2024. I would now like to turn the conference over to Ian Tharp, Investor Relations. Please go ahead.
Ian Tharp: Thanks very much, Chris, and good morning to those joining today as we discuss ADENTRA's financial results for the first quarter of 2024. With me on the call are Rob Brown, ADENTRA's President and CEO; and Faiz Karmally, Vice President and CFO. ADENTRA's Q1 2024 earnings release, financial statements, MD&A and other quarterly filings are available on the Investors section of our website at www.adentragroup.com. These statements have also been filed on ADENTRA's profile on SEDAR+ at www.sedarplus.ca. I want to remind listeners today that management's comments during this call may include forward-looking statements. These statements involve various known and unknown risks and uncertainties and are based on management's current expectations and beliefs, which may prove to be incorrect. Actual results could differ materially from those described in these forward-looking statements. Please refer to the text in ADENTRA's earnings press release and financial filings for a discussion of the risks and uncertainties and associated with these forward-looking statements. All dollar figures referred to today are in US dollars unless stated otherwise. I'll now turn the call over to Rob Brown. Rob?
Rob Brown: Thanks, Ian, and good morning, everyone. Thanks for joining us today as we report ADENTRA's financial and operating results for the first quarter of 2024. I'll start with our key financial and business highlights for the quarter. Faiz Karmally, our CFO, will then provide details of our Q1 financial results. I'll then finish off our prepared remarks with our outlook for 2024. We had a strong start to the year with first quarter sales of $535 million, adjusted EBITDA of $45.6 million and adjusted earnings per share of $0.78. Sales activity was solid in the quarter, with volume up slightly compared to the same quarter in the prior year. Overall, sales were lower than in Q1 2023 as anticipated, and this was due to product price deflation of approximately 9% year-over-year. In this environment, we still increased bottom line results with adjusted EBITDA up 6% and adjusted earnings per share increasing by 18%. We accomplished this through an improvement in gross margin percentage to 22.1% in the quarter, 190 basis points better than in Q1 of 2023 and disciplined management of operating expenses. From a gross margin percentage perspective, Q1 marks the 12th consecutive quarter with gross margins above 20%, providing a sustainable level of profitability for our business that is supported by our strategic initiatives, including higher margin product mix gained through our acquisitions of Novo and Mid-Am, our focus on higher-margin ready-to-install products, the positive contributions from our global sourcing program and our efforts to leverage data analytics and our digital platforms to better manage our assets and maintain strong discipline on our product pricing. Regarding operating expenses, in 2023, we reduced warehouse expense and headcount. These initiatives, combined with tight management of costs, helped to limit the increase in operating expenses year-over-year to just 1.5%, well below the rate of inflation. During the quarter, our business model continued to generate strong cash flow with 80% of our adjusted EBITDA converting into operating cash flows before changes in working capital. We invested some of this cash in working capital, which is normal for this time of year, but contrasts with the prior period -- prior year period when we were actively reducing inventory levels. Our Board also declared a quarterly dividend of $0.14 per share payable to shareholders on July 26, 2024. Our balance sheet remains strong. Our leverage ratio exiting Q1 was 2.8 times, which is in our target range and our unused borrowing capacity is over $445 million. I'll now pass the call to Faiz, to provide details of our Q1 financial results. I'll return to talk about our outlook, before we open the call to questions. Faiz?
Faiz Karmally: Thanks, Rob and good morning everyone. I'm going to recap our financial results for the first quarter of 2024, and outline our financial position at quarter end. Again, I'll remind those listening that any dollar figures Rob and I use today are in U.S. dollars, unless we've stated otherwise. Starting with consolidated revenue, we generated sales of $535.1 million in Q1. This decrease of $44.7 million or 7.7% from sales levels in Q1 of 2023 was due to product price deflation and was partially offset by a 1% increase in year-over-year volumes. On a regional basis, sales in our U.S. operations were $492.5 million or 8.2% less than Q1 2023, this was driven by a 9% decrease in product prices offset by a 1% improvement in volumes. Our Canadian operations posted Q1 2024 sales of CAD 57.5 million, which was 2.6% lower than Q1 sales in 2023. Canada experienced the same 9% decrease in product prices, which was partially offset by a 6% increase in sales volumes. Moving now to gross margin, we earned $118.2 million in the first quarter, a 1.1% increase as compared to Q1 2023. This change mainly reflects a gross profit percentage of 22.1% which was an improvement of 190 basis points over the gross margin contributions in Q1 2023, partially offset by the lower revenue. The factors supporting our improved gross margins include strategic initiatives, Rob outlined at the start of the call, and lower inventory write-downs as compared to the same period in the prior year. Our operating expenses for Q1 were $93.8 million a $1.4 million or 1.5% increase compared to Q1 of 2023, primarily driven by continued inflationary pressures in the economy. Looking now at our adjusted EBITDA, for Q1 2024 it was $45.6 million, or a 6.3% improvement over the first quarter of 2023. The main drivers of the adjusted EBITDA improvement were the increase in gross profit of $1.2 million and a $1.4 million reduction in operating expenses before changes in depreciation, amortization and LTIP expense. And finally, adjusted net income in the first quarter was $17.3 million, an increase of $2.5 million or 16.8% over Q1 of 2023. The change was primarily driven by the $2.7 million increase in adjusted EBITDA and a $1.1 million decrease in finance expense. Partially offset by $1.3 million in additional depreciation and amortization expenses. On a per share basis, adjusted profit per share was $0.78 which was an 18% increase over the $0.66 posted in the same period in the prior year. Looking at our cash flow position for the first quarter, we generated $6 million of cash flows from operating activities, as compared to $69.8 million in the Q1 period in 2023. The year-over-year decrease was the result of Q1 working capital investments of $30.8 million, compared with $39.8 million cash inflow from the release of working capital in Q1 of 2023 and which was a period where we were actively reducing our inventory levels. The investment in working capital is normal for this time of year. Moving next to our balance sheet, our cash flow generation in Q1 was primarily used to fund our investments in working capital as mentioned and our net bank debt at the end of the quarter totaled $397 million. We exited the quarter in a solid financial position with a leverage ratio of 2.8 times and unused borrowing capacity of over $445 million, which provides us with the flexibility we need to fund future growth and advance our business strategies, while managing any short-term headwinds. Our capital allocation priorities are the continued responsible management of our balance sheet, funding our growth through acquisitions as well as organically and providing incremental total returns to shareholders. With that I'll hand the call back over to Rob. Rob?
Rob Brown: Great. Thanks Faiz. I'll wrap-up my prepared comments today with our outlook and details on our strategy to continue building the long-term value of ADENTRA. As we progress through 2024, we expect that the combination of inflation and elevated interest rates will have moderate impacts on economic activity. We expect residential construction to show stable levels compared to 2023 and stable to lower levels in the repair and remodel market. These segments each represent approximately 40% of our sales. Sales volumes stabilized in the first quarter and we continue to see some softness in product pricing. We anticipate that year-over-year sales comps will improve in the latter half of 2024. Our outlook is for modest growth in 2024 adjusted EBITDA through our focus on strong gross margins and tight management of operating expenses. In addition to continued strong operating discipline we're focused on the execution of our Destination 2028 plan. The plan includes acquiring $800 million in run rate revenues by 2028. We're one of the largest distributors of architectural building products in North America with approximately a 6% market share. We have a robust acquisitions pipeline and there remains a significant opportunity for growth in this fragmented market. Our business is also well-positioned to capitalize on the fundamental demand drivers in the repair and remodel and residential construction markets over the long term. These drivers include positive demographic factors and aging U.S. housing stock strong home equity levels, and the continued underbuilding of homes in the United States and Canada. Future decreases in interest rates could further support end market demand for our products. With that, I want to thank you for your time this morning. I'll now turn the call back to our operator, Chris, to provide instructions for the Q&A period. Chris?
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Your first question comes from Yuri Zoreda, Canaccord Genuity. Yuri please go ahead.
Yuri Zoreda: Good morning guys. Nice quarter.
Rob Brown: Hey Yuri, good morning.
Yuri Zoreda: So, if I could just perhaps start with volumes they continue to hold. And as you were mentioning you're expecting the resumable markets to remain stable in your outlook, so given that rate declines are taking longer and costing data has been a little bit volatile. Just wondering if there any signs or data that give you confidence on volumes remaining stable in the back half of the year?
Rob Brown: Yes. So, I mean we have -- we were quite pleased I would say with the first quarter. And to your point the volume stability that we saw year-over-year pricing obviously is a headwind. Absent seeing something change that's our expectation going forward. You pointed out that the residential being stable peeling that back there's different trends within single-family and multifamily, of course, but I think the encouraging leg of that is seeing some growth in single-family as probable for current year. But yes, like we keep a close eye on the housing market and it's been a little bit choppy in the long -- or in the short-term, but we just remain focusing on what we can control executing our business continuing to put up good results around margin and cost control. And again, as I mentioned at the end of my prepared remarks, the longer-term fundamentals for demand for our products is very positive.
Yuri Zoreda: Okay. Yes. That's very helpful and good color. And in that vein on the gross margin they were higher year-on-year and sequentially despite the challenging environment, which was very nice to see. I understand that a lot of that comes from mix with recent acquisitions and the strategies you've been implementing. But just wondering if you could provide a little more color on any other drivers that could be behind that trend specifically for the quarter?
Rob Brown: Yes. I mean we feel really good about that. It was an important element delivering the result we did in the quarter with some growth in earnings in EPS. The strategy piece, I mean the mix is there with some of the businesses we've acquired. We continue to also fortunately had products, we described as more margin-resilient, where we've got either exclusive or semi-exclusive distribution rights in a territory decorative services type products. But then the things around the strategy, as I also mentioned in my prepared remarks, digital the use of data analytics around just getting better at pricing and that we continue to improve upon. And I think that's also did a solid contributor to the results that you saw.
Yuri Zoreda: Okay. That is good color. Thank you and congrats again. I’ll turn it over.
Rob Brown: Thanks Yuri.
Operator: Thank you. Your next question comes from Jonathan Goldman, Scotiabank. Jonathan, please go ahead.
Jonathan Goldman: Hi. Good morning, guys. Thanks for taking my questions. Maybe just coming back to the gross margin conversation. Maybe trying to ask it a different way. Do you see the mix evolving dramatically quarter-on-quarter or through the year, however, you want to discuss it.
Rob Brown: Yes. It's always good to take a run at a question with different words when I don't get a good enough answer, Jonathan.
Jonathan Goldman: I appreciate that.
Rob Brown: Look, on the margin, you're right. It's seen a year-over-year improvement sequential improvements very positive. And I really would say, it's -- a lot has to do just with our sales force being very disciplined as they go to market. And we've given them better abilities to understand what products are more price-sensitive versus less price sensitive and to make pricing decisions accordingly. The level -- we're comfortable with the levels that we're at today. We don't kind of see that as being outside of a range that we can sustain over the next number of quarters. I would say, it's at the higher end of the range than our expectations would probably indicate. But there's nothing I see on the immediate horizon that should kind of change the landscape for how we're managing the market.
Jonathan Goldman: Okay. That's good color. And I guess maybe drilling down on that a bit. Are any of your digital initiatives actually enabling that pricing discipline? And how it's coordinated with the sales force as well?
Rob Brown: Yes, very much so. We've got a -- we've discussed an e-commerce footprint, that is not typically the case in our industry. I wouldn't say that most of our competitors that has invested in this area. But when you do and you create that offering, if you're going to do it effectively, you have to have a very well-coordinated operational information around what's in your warehouse and then you need to price it, because all accounts have different characteristics that drive different pricing that attaches to them. So having the digital or the e-commerce platform forces you to be very thoughtful about how you go to market with pricing. So, the two go hand-in-hand.
Jonathan Goldman: Perfect. And maybe I guess skipping to the top line. In your Q2 guide, I think it calls for sales decline similar to Q1 to down 8%. Would the composition of that decline also be similar to Q1 in terms of price and volume?
Faiz Karmally: Hey, Jonathan, it's Faiz here. I'll take that one. I think that would be a fair assumption in terms of the product pricing trends that we've been talking about for a couple of quarters now. I would say that continued through Q1 and as you would expect even into April here. So that kind of sequential basis month to month to month kind of a 1% to 2% softening in price. So if you just did the math on that you would get a similar result for Q2 in terms of your volume versus price mix. The volumes I think as Rob mentioned, and as we stated in our materials, I thought were encouraging in the first quarter. It's the first time in a number of quarters where we actually had a bit of volume growth. So the volumes feel stable but the product pricing is where we'll see some weakness again year-over-year in Q2 would be the expectation.
Jonathan Goldman: Okay. Perfect. Thanks for the color. I’ll turn over.
Operator: Thank you. Your next question comes from Hamir Patel, CIBC Capital Markets. Hamir, please go ahead.
Hamir Patel: Hi, good morning.
Rob Brown: Hi, Hamir.
Hamir Patel: Rob, if you look at your various product categories, are you able to share which of the products have negative pricing comps still, if any have been selected positively already? And just any more visibility on pricing by category?
Rob Brown: I mean we obviously, have some visibility over that Hamir. I don't think there's a nugget or a big insight that I can give you on this call. However, I mean we've got 175000 SKUs and we're in a dozen major product categories. For – my comment would be for the most part we don't have anomalous product categories. Most are moving kind of in lockstep. They're not all identical but I don't think I would point to one and say it's radically different than another
Hamir Patel: Okay. Fair enough. And Rob just on the volume front, are you able to comment on how volumes fared by channel in Q1 just thinking sort of R&R versus new res or multifamily?
Rob Brown: Yes. I mean one way to think about it is how we manage by customer channel here the home center and pro dealer customer category versus the industrial category. Relatively similar. Like I would not say we're kind of hitting it out of the park in one and really lagging in the other. I think it's indicative of overall movement in the economy as opposed to something being way off or outperforming. If we had that I would call it out.
Hamir Patel: Fair enough. Thanks, Rob. That’s all I have. I’ll turn over.
Operator: Thank you. Your next question comes from Zachary Evershed, National Bank Financial. Zachary, please go ahead.
Zachary Evershed: Thank you. Good morning, everyone. Congrats on the quarter.
Rob Brown: Hi, Zach.
Zachary Evershed: So in terms of an update on the M&A pipeline, do you expect anything to cross the finish line in the first half of the year? Or will it be more back half and future year story?
Rob Brown: Where are we? We're mid-May. I probably wouldn't parse it over the next six weeks versus seven months, eight months. I would say we'd be – I'd be surprised and disappointed if we don't get something meaningful done over the course of the year. We've got things that are active but with M&A there's never a guarantee. So kind of nothing to really say about Q2 but you should feel good about the level of activity we have underway and discussions as it relates to getting back on track with some acquisitive growth in the year and that's supportive of what we want to do with the Destination 2028 plan as you know.
Zachary Evershed: That's helpful. Thanks. And then you did mention that mix was at the higher end of the range of your expectations. When we think about gross margins being very attractive at 22%. Would you call anything out in the quarter that kind of artificially drove that up that you might have to give back?
Rob Brown: The short answer is no nothing of that nature.
Zachary Evershed: And how are gross margins trending so far in Q2 now that we're in mid-May?
Rob Brown: I think we're steady. So you get another probe question on gross margin, we don't have any kind of mid-course corrections around that to report out, at this point. We've kind of continued on our way into Q2 and you just saw the Q1 numbers.
Q – Zachary Evershed: Thank you. Then on your value-add products, I always think about pre-hanging doors in that category. But could you give us some more examples of insulation-ready products or any innovations that you're working on there?
Rob Brown: Yes. I mean the doors and finishing millwork is the big one. We did very well with that. We will also do custom molding packages for specific house projects. Increasingly, you'll sell home center side a product that is as consumer friendly, as it can be. So we may have used to have sold something that was primed and ready to take paint. You're now selling a paint product in many cases, that's just ready for install and accompanied by nail and touch-up paint to assist a consumer with kind of finishing the job on their own. So, it's that kind of continued evolution that we see and it's very helpful I think to our customers in that skilled labor, the final mile at the job site is sometimes more scarce than it used to be. So to the extent that we can provide a product that requires the least amount of kind of installation, adjustments or expertise the better, and we're happy to do that service and we get paid well to do that.
Q – Zachary Evershed: Great color. Thanks. And that last piece I think is a good segue, to my final question here. Builders FirstSource had commented that early-stage construction materials are moving quickly, but finishing touches haven't seen a pickup, yet. Are you seeing any indications that construction times for new res, are starting to blow out again?
Rob Brown: I don't know about the specific lead times. So I won't comment on that specifically, but I would echo your comment around we're seeing our pro dealer customers, shipping a lot of housing like for a lot of framing packages out. And of course, finishing molding and spare part and other kind of millwork materials that we provide in the finishing stages, follows that. So that comment is encouraging from BFS. They're obviously, an important customer to us as well.
Q – Zachary Evershed: Great. -- I’ll turn it over.
Operator: [Operator Instructions] Your next question comes from Ian Gillies, Stifel. Ian, please go ahead.
Q – Ian Gillies: Good morning, everyone. With respect to the M&A pipeline there certainly seems to be more optimism there. Is it a function of more private equity packages coming to market? Or are some of the -- I guess companies in your proprietary pipeline that you've built over the years, are they just coming closer to a point where they want to sell? Or is it a mix of both?
Rob Brown: Yes. So these are more supply-driven comments and I'll address that I would say, on the more the demand driven like what are we doing? We just -- we had some things we need to take care of last year as you know, around inventory drawdown and repaying debt. So while I won't say we weren't on the sidelines, we were more in maintenance with a number of our discussions. We feel like we can place some more offense now, having taken $220 million out of the balance sheet on the debt side last year, and feeling really good about where are these on hand in terms of inventory is now. We're kind of ready to go. The other thing that is important is, a little bit more predictability around market conditions and results. We kind of feel like we know where we're at. We had a quarter that just came in where we thought we'd be at. So all those things just give us more confidence in terms of, getting more active on M&A and you're probably picking that up in the commentary. On the supply side, I think the same is true to a certain extent where other participants people that we might want to acquire, we're doing some of the same things last year. Getting their balance sheet in order, figuring out where demand for their business is going to be after a number of years that we're fairly unusual. So all that kind of stability I think on both the buy-side and the sell-side makes it more attractive for us. What's good is that we've had the resources in place the whole time and we've been doing the work. So it's easy to pick that up and start moving forward again.
Ian Gillies: Got it. That's helpful. And following on that question perhaps in a bit of a different way around product mix. Is there any particular product that your customers are asking more from you that which had more access to or maybe even products outside of your existing mix that you wish you had access to today?
Rob Brown: There's always new opportunities in the products. We found our way into new opportunities with way back with Rugby into doors, with the acquisition of Novo into stair parts and boards, and millwork in a more meaningful way. And then if you look at Mid-Am they have a very wide line card. So all those things are giving us a taste and access to new product categories and we are thoughtfully doing some cross-selling of those things from one brand into another. And we really view it as wanting to continue to build that one-stop shop solution for our customers that -- they're very busy people. They operate busy sites and locations. And they don't need six trucks arriving that needs to be unloaded and logistically managed when they can get their needs on one. So we continue to move more towards that type of model.
Ian Gillies: Okay. That’s helpful. I will turn the call back over and safe my gross margin questions for next call.
Operator: Thank you. There are no further questions at this time. Please proceed.
Rob Brown: Okay. Great. Thanks, Chris for hosting today. And I appreciate everybody's questions. Faiz and are always available. So do reach out if you've got some follow-ups and we'd be happy to take your call. Everybody have a good day and I appreciate your interest in the company.
Operator: Thank you. Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.